Operator: Good morning, ladies and gentlemen, and welcome to the Global Ship Lease First Quarter 2019 Earnings Conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host Mr. Ian Webber, Chief Executive Officer of Global Ship Lease. Please go ahead.
Ian Webber: Thank you very much. Good morning, good afternoon, everybody, and welcome to our quarter 2019 earnings conference call. The slides that are accompanying today’s presentation are available on our website at www.globalshiplease.com. Slides 1 and 2 as usual remind you that today’s call may include forward-looking statements that are based on current expectations and assumptions and are, by their nature, inherently uncertain and outside of our control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the Safe Harbor section of the slide presentation. We also draw your attention to the Risk Factors section of our most recent Annual Report, which is for 2018 on Form 20-F and this was filed with the SEC on March 29, 2019. You can obtain this via our website or via the SEC’s. All of our statements are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. For reconciliations of the non-GAAP financial measures to which we will refer during this call, to the most directly comparable measures calculated and presented in accordance with GAAP. Please refer to the earnings release that we issued this morning, which is also available on our website. [Indiscernible] our Chief Financial Officer, Tassos Psaropoulos; and our Chief Commercial Officer, Tom Lister. George will provide opening remarks about GSL on our strategy and then Tassos, Tom and I will take you through quartering results, our financials and the current market environment. After which, we’d be delighted to take your questions. Turning now to Slide 3, I’ll pass the call over to George.
George Youroukos: Thank you all for joining us. During this period of exciting earnings expansion for Global Ship Lease. It’s a pleasure to be with you today. Before my colleagues dive into the details of GSL in the market, allow me first to highlight the significant progress we have achieved this year capitalizing on attractive opportunities to generate shareholder value. In 2019, today we are pleased to have taken advantage of the strong demand for our high specification mid-sized post-panamax ships, which are under supplied and where market charter rates have increased 75% to 100% since Q4 2018. Specifically in year-to-date 2019, we have signed charters at strong rates securing 11 new charters or which six have multiyear terms enabled GSL to look in upside from a strong charter market. The new charters are an aggregate of 23 years of additional contractor charter cover and $97 million additional adjusted EBITDA over the duration of the newly contracted charters. Finally, we have increased contracted revenues of the fleet from $727 million at the end of 2018 to $826 million as of March 31, 2019, including subsequent announcements. Forward cover is now three years compared to 2.5 years of December 31, 2018, and effective increase of 0.75 years given three months have gone by since. Our success in further increasingly efficient employment of our fleet and achieving 99.8% utilization for the quarter is in part due to our superior commercial management platform, which has enabled us to continuously engage in discussion and competitive processes with all of the major players in the market. This has given us access to longer-term opportunities than more standard plain vanilla charter market transactions. By working closely with a measure line of companies, we can develop tailored solutions to meet the tonnage requirements. Our platform and deep experience make this possible. Our efforts are greatly facilitated by the strong and growing demand for our highly specified fuel efficient containerships. 80% of which are in vessel classes with no order book at all. Our vessels are able to provide best-in-class low costs, as well as particularly high reefer capacity. As such the liner operators have been understandably eager to utilize our vessels as they continue to be very focused on minimizing the slope costs. The unit cost of transporting a loaded container in other words and maximizing the opportunity to kind of premium rate of refrigerated cargo. The strong demand for and limited available supply of such high-specification vessels has enabled us to make substantial progress in securing long-term profitable employment across the fleet as I mentioned a moment ago. And in several instances, to command a large premium to what a more standard vessel of similar size and needs would earn in the market, both in terms of the rates and the contact duration. Our success on this front has been highly encouraging and serves as a strong proof of the long-term demand for our vessels. With our recently signed charters providing multiple years of contracted employment at attractive rates for vessels that in some cases are approaching 20 years old. For those of you who might not be so familiar with standard chart and practices, let me be clear. This is very meaningful. And speaks to both the value of the ships and the strong market fundamentals currently prevailing in these segments. In addition to our focus unlocking in upside from our strong charter market for our high-specification fuel efficient fleet of mid-sized and smaller container ships. We also began to realize cost savings year-to-date highlighted by our succession reducing daily operating costs from $6,432 per day per vessel in Q1 2018 to $6,127 per day per vessel in Q1 2019. With a focus on optimizing our capital structure and reducing our cost of capital, we have also began laying the groundwork for an eventual comprehensive refinancing, supported by our success in increasing our contact coverage and deleveraging. While we’re of course, pleased with the progress that we have made so far, we’re not complacent. Overall, I want to strongly convey to you that we see huge potential in Global Ship Lease and we’re highly focused on taking the steps necessary to unlock and expand the significant shareholder value. As part of this important effort where we continue to explore opportunities for accretive growth, drawing on a proven platform for growth via both vessel acquisitions and corporate M&As. We also remain committed to raising the investment profile of GSL in the global capital markets, proactively meeting with investors, and non-deal road shows and attending investor events and conferences. With that, I will turn the call to Ian.
Ian Webber: Thank you, George. If you could all turn to Slide 4, I’ll quickly run through highlights for the first quarter, which reflects our first full quarter as an enlarge business following our transaction with Poseidon in November last year. Operating revenues for the quarter were $64.5 million, was – net income was $10.1 million and adjusted EBITDA was $40.5 million. This is derived from vessel utilization of 99.8%, which is in line with our historic precedent and reflects both the consistent operating performance of our vessels, our strong contract coverage and our ability to promptly find employment for our ships when they become available in the charter market. As George said, we have in the year-to-date agreed attractive new charters or extensions for 11 of our vessels with Hapag-Lloyd, Maersk Line, MSC, CMA CGM and ZIM. Importantly, six a month year charters including the two five-year charters with MSC as an excellent rate that we announced yesterday, for the Tianjin and Qingdao both 8,667 TEU vessels. To remind you, incorporating all of these recent charters, our total contracted revenue has now reached $826 million and our weighted average forward charter cover is three years. Both much improved on the position as of December 31, 2018. Please note that we will retrofit scrubbers to three vessels as part of the agreement of the relevant new charters. This is consistent with what we have said previously. We will not unilaterally install scrubbers, but we’re willing to make the investment against an appropriate committed charter rates and duration. We continue to explore ways in which to optimize our balance sheets and reduce our cost of debt. Indeed, we have made some real progress in this area. Turning to Slide 5, you can see our fleet of 38 container ships, which range in size from 2,200 TEU to 11,000 TEU, this is what we refer to as mid-sized and smaller vessel classes. Those ships which are above 5,500 TEU, our post-panamax another term you’ll hear us use. The dark blue bars illustrates the extent of the re-chartering activity we have achieved in the year-to-date, with a number of these charters extending well into the future at attractive rates. We’ve also continued to diversify our charter portfolio, which is an attractive mix of leading global liner companies and more niche regional operators. With that, I’ll turn the call over to Tom for an update on the market.
Tom Lister: Thanks, Ian. As always, let’s start by taking a quick look at the broader backdrop. At a global level, the IMF’s macro economic outlook is cautious. It’s April update pointed to a comparatively weak starts 2019 with global GDP growth projections notched down to 3.3% for the year. However, a pickup is expected in the second half of the year with supportive policies being implemented by major economies, including the U.S., the EU and China prompting the IMF to hold its growth expectations for 2020 steady at 3.6%. At the same time, emerging markets and developing economies are expected to continue to be the main engines of the global economy as they are for mid-sized and smaller containerships with the aggregate GDP growing by 4.4% in 2019 and 4.8% in 2020. World trade is forecast to grow by 3.4% this year and 3.9% in 2020. Meantime, despite negative overlying sentiment, supportive industry fundamentals for mid-sized and smaller containerships are presenting themselves, particularly for post-panamax tonnage providing the most competitive slot cost where earnings are strengthened significantly during the first quarter of 2019 where as mentioned, we have agreed several advantageous multiyear charters. The next few slides provide our usual market analysis with recurring themes summarize at the top of Slide 7. Essentially, our thesis is that, one, despite headwinds to sentiment, industry fundamentals are supportive with demand expected to grow faster than supply in 2019, particularly for the mid-sized and smaller fleet segments. Two, the containership order book remains extremely modest with zero order book and the size segments most relevant to us. Three, short-term negative sentiment is helpful to longer-term fundamentals limiting new orders. Also scrapping activity is picking up with demolition through April of 2019 almost matching that for the whole of 2018. Four, we see IMO 2020, and emission control as a positive catalyst for ship owners offering vessels to the charter market, scrubber retrofitting, which takes a vessel out of service for approximately six weeks is causing the removal of capacity from the market during 2019 and beyond, plus as fuel prices are expected to rise materially in 2020. Operators are expected to further flow steam vessels, which will cause a reduction in effective supply. And finally, five, and this is a point we’ve been focusing on some time and that goes to the very heart of the GSL value proposition. We believe industry dynamics continue to be most attractive for smaller and particularly mid-sized ships, which make up the GSL fleet and will represent our continued focus going forward. The charts on the lower half, the slide underlying the points I’ve just made. On the left, you can see a comparison of demand growth, dark bars and supply growth, the pale bars. You can see demand growth exceeding supply growth in 2016 and 2017. In 2018, overall supply for the global containership fleet outgrew demand partly due to new vessel deliveries, the majority of which are very large containerships, but also importantly because scrapping slowed significantly as best learnings and asset values firmed. Best learnings in the short-term market reflected in the charter rate index, the red line, which as you can see improved strongly from 2016 through the first half of 2018 before plateauing in the second half of that year. As already mentioned, charter rates a mid-sized segments have since strengthened significantly year-to-date 2019. The lower right hand chart shows how the global fleet has evolved since 2007. Most significantly, you can see how the order book to fleet ratio, which was north of 60% in 2007 on the back of speculative orders, largely out of the German KG market had fallen to 12.3% by the end of 2018, a reduction of almost five times. By the end of Q1 2019, it had fallen further to 11.7%. And if you drill down as we will on a later slide, the order book to feet ratio about 2,000, to 10,000 TEU ships, the mid-sized and smaller vessel segments we’re focused on is only 2.8%, which is spread over a period of at least three years. Slide 8 on the other hand focuses mainly on demand side fundamentals. The pie chart of top left shows the composition of global containerized trade in 2018 almost 30% of volumes are carried in the main lane trades by which we mean Asia, Europe, the Trans-Pacific and the Transatlantic. More relevant to us, however is the fact that in aggregate a little over 70% of global containerized trade volumes were carried in the non-main lane intermediate and intra-regional trades which tend to be served by midsize and smaller vessels, the soul – provided by GSL. You can see from the charts on the right, the demand is expected to grow faster than supply in 2019 and the most robust growth is expected to be in these same non-main lane intermediate and intra-regional trades. Slide 9 looks at fleet composition, vessel deployment patterns. The pie chart at top left capture the composition of the global fleet, showing the proportion by number of ships of each size segment. Strikingly, 43% of the ships on the water today are 2000 TEU or smaller, which is relevant in the context of the cascade, which we will return to later. The bar chart shows how the global fleet is deployed dividing containerized trade into 20 or so groupings, which are arranged along the horizontal axis. Immediately below these, you will see the number of vessels operated in each trade grouping. The bars in the chart show the maximum of vessel size deployed for trade grouping, the pale blue bars and the average size, the dark blue. Clearly, the really big ships, a key to a handful of trades driven by search for unit cost efficiency facilitated by high volumes, sophisticated port infrastructure and the long tradelanes. Asia Europe is the obvious example served by the largest ships on the water maximum size north of 22,000 TEU and with an average size around 14,000 TEU. On the flip side, as demonstrated by the area between the red dotted lines ships that between 2000 and 10,000 TEU, in other words, those focused upon by GSL are core to most other tradelanes. Slides 10 and 11 presented the same present the same data in a slightly different way. Slide 10 shows the deployment of the big ships, those of over 10,000 TEU during a 30-day period in the first quarter of 2019. As you see, they’re largely deployed on the arterial east/west trades. Slide 11 on the other hand shows the deployment of mid-sized and smaller ships and they’re everywhere. So the previous few slides demonstrate why we believe the demand side of the story for mid-size and smaller ships is compelling. Now let’s look at the supply side. Slide 12 shows that supply side fundamentals are also very favorable for the segments we’re focused on. Top left, you can see that idle capacity, the red line, although subject to the usual seasonal variations has been trending down since 2016. And it’s worst back in 2009 the idle fleet peaked north of 12%, at the end of Q1 2019 it was 2.1%. Scrapping which is the focus with the chart at top right help to reduce idle capacity during 2016 and 2017. However, as you can see strengthening in the market with rising vessel earnings and asset values meant that scrapping in 2018 was very limited at around 100,000 TEU. The good news is that scrapping activity is increasing in 2019 with around 97,000 TEU already committed for scrapping in the first four months of this year. Bottom left is a chart showing the order book, which is significantly weighted towards big ships, and very low for the midsize and smaller vessel segments. To reiterate, the overall order book to fleet ratio at the end of Q1 was 11.7%. For vessels between 2,000 and 10,000 TEU, it was 2.8%. And most notably for the segment’s ranging from 4,000 TEU to just under 10,000 TEU, in other words, those representing 80% of GSL fleet capacity, there is zero order book. Turning to Slide 13, you can see the shipbuilding capacities contracting. A number of active yards has fallen by over 60% since the peak in 2008 and the number of yards actually taking orders has fallen by more than 90% over much of the same period. This is good news for tonnage providers like us for two reasons. One, increased pricing discipline from the remaining yards, as you will see from a newbuilding index on the next slide is placing upward pressure on newbuilding prices and thus on replacement values. And two, bringing the order book and to check going forward should significantly reduce volatility. Remember, we’re in a cyclical industry in which with the exception of 2009 demand has always grown from one year to the next. The key to long-term profitability, it’s to get the supply side on the control. Slide 14 focuses on charter rates and asset values. Here you can see how vessel earnings short-term charter rates and asset values have evolved over the long-term, which is the left hand chart. And since the beginning of the fundamental is driven recovery couple of years ago, the top right hand chart. As you can see, short-term charter rates, the red line, we’re under sustained pressure for a number of years until during the first quarter of 2017, they began to recover sharply. As you would expect, asset values tend to correlate to earnings and to sentiment and also began to front significantly. This upward trajectory continued through first half of 2018, but faltered in the second half of the year as trade war rhetoric ramped up, and sentiment turned negative. The usual industry low season which tends to run from the fourth quarter through Chinese New Year exacerbated this downward trend. However, in the last few weeks, as you can see clearly from chart at bottom right, charter rate momentum has once again begun to turn positive. This has been driven by post-panamax vessels of 5,500 TEU and up. Perhaps, even more interesting is the dislocation between four sentiment and positive fundamentals presenting interesting purchase opportunities for those with capital. The next couple of slides explain why we think the best value and upside potential lies within our established focus on smaller and mid-sized ships. Slide 15 looks at slot costs, the key cost driver and main vessel selection criteria for our clients, the liner companies. Slot cost is the daily cost to align a company for the space that each loaded container occupies on a given ship. The equation at top left explains how slot costs are calculated. Essentially, it’s daily fuel costs and daily charter high divided by the number of loaded containers on the ship and an assumed standardized load of 14 metric tons per TEU. The greater the cargo carrying capacity and fuel efficiency of a ship, the lower the slot cost. And the lower slot cost, the more attractive the ship to liner companies in the charter market. Fuel costs were significant part of the calculation. As you can see from the chart at bottom left, the constant operating speed, daily fuel costs per TEU decreases as ship size increases. If fuel costs climb as is anticipated with the implementation of IMO 2020, this relationship has an even greater economic impact. What this all means is that on any given trade, liner companies tend to deploy the largest possible vessel that can be supported by commercial considerations such as cargo volumes and service frequency and by physical limitations, such as short side infrastructure and vessel dimensions. Goes without saying that slot cost economies are only unlocked if a liner operator can fill ship. Slide 16 takes the slot cost concept and translates it into vessel earnings and upside potential, shaping the strategic positioning of GSL. The bar chart looks at slot cost parity by charter rate and ship size. In other words, it shows the implied charter rates for different ship sizes, which give the same slot cost to the charterer. We run this analysis using illustrative fuel costs of $400 per metric ton, the dark blue bars and $600 per metric ton the pale blue bars. As a baseline vessel, we’ve used a theoretical 4,250 TEU panamax, which sits roughly in the middle of the size segments representing the liquid charter market. Assuming this baseline vessel is deployed at a charter rate of $10,000 per day, a modern 9,100 TEU ship could be charted it up to $55,000 per day with fuel at $400 per metric ton and almost $70,000 per day with fuel of $600 per metric ton, while still delivering slot cost parity for the charterer. The other end of the scale, the implied charter rate for an 1,100 TEU vessel would need to be negative in order to achieve slot cost parity. You’ll also notice red dots on the chart, these indicates short-term charter rates for each vessel size prevailing in the market as at the end of March. Admittedly, this slot parity exercises a little theoretical, as it assumes perfect deployment efficiency and ignores both commercial and physical constraints. Nevertheless, it does imply the following. One, for the largest ships, there is significant upside to prevailing market rates, before they converge on implied slot cost parity. Two, this upside potential should increase further if fuel prices clients. Three, the GSL fleet is well positioned to capitalize on the cascade, 80% of our fleet is panamax or larger delivering the lowest slot costs in the charter market and even our smallest of 2,200 TEU are well placed. You’ll recall at 43% of the ships on the water today, a 2000 TEU smaller. So to wrap this section up. One, despite headwinds the sentiment, industry fundamentals are supportive with demand forecast to grow faster than supply, particularly in the non-main lane trades. Two, the order book pipeline for midsize and smaller ships is very limited. Three, scrapping activity is picking up. Four, IMO 2020 is likely to be a positive catalyst for ship owners causing a reduction in effective supply going forward. Five, industry dynamics continue to be most attractive for midsize and smaller ships, which make up the GSL fleet and represent our continued focus. And finally six, with a clear eye to our customers’ needs, namely well specified vessels, unlocking low slot costs. We’re positioning GSL to capitalize on upside opportunities in this space over the short, medium and long-term. Tassos, with that over to you.
Tassos Psaropoulos: Thank you, Tom. Turning on the financial section on slides 18, 19 and 20, you will find company’s income statement, balance sheet and cash flow for the first quarter of 2019 respectively. Let me point out to go some key items for this quarter. We generated revenue of $64.5 million and a net income of $10.1 million for the first quarter of 2019 versus $36.1 million revenue and $4.2 million net income for the same quarter in 2018. The $28.4 million increase in revenue is mainly due to the addition of the 19 Poseidon vessels. In this quarter, there was no schedule of higher or idle days and only five days of unscheduled of higher resulting on an overall utilization of 99.8%. Finally, the average operating expenses that ownership day including management fees has been reduced during the first quarter of 2019 by $305 to $6,127 from $6,432 on the same quarter in 2018. Turning now to Slide 21, in order to assist investors looking at GSL, we have included here and illustrative adjusted EBITDA calculator that can be used to see how different rates scenarios and we have provided certain historical datas outlined on the page flow through to our adjusted EBITDA. For example, if we applied the 10 years historical average rates to the open days of 2019, we will generate adjusted EBITDA of $166 million. I would now like to turn the call back to George for closing remarks.
George Youroukos: Thank you, Tassos. Before opening up to the call for your questions, allow me to offer a brief summary on Slide 23 of why we believe GSL to be a compelling investment opportunity. Number one, our shares paid at very attractive levels, both on our navy basis where the current price is at an approximate 70% discount compared to our peers, which are either above par or much lower discount. And also on an EV to EBITDA market basis, where we’re trading at a couple of term discount to our peers. Number two, we’re focused on midsize or smaller fleet segments with well established and supported fundamentals, where the order book for the entire 2000 to 10,000 TEU fleet segment represents the only 2.8 of standing capacity. Zooming enclosure, there’s actually no order book whatsoever for the fleet segments are representing 80% of GSL’s fleet. After a year of limited scrapping in 2018, we’ve now almost matched the entirety of 2018 scrapping levels in the year-to-date 2019. With the onset of IMO 2020 and the anticipated slow down or vessel speeds, we expect an effective reduction in vessel supply. Number three, we have substantial downside protection from our $826 million contracted revenue. And other remaining charter time of three years. Four, one side of our fleet is comprised of superior white beam echo vessels, where more than half of best-in-class refer capacity and more than two-thirds of our capacity is in segments with charter rates have as much as doubled versus fourth quarter of 2018 rates. Five, our ships provide extremely competitive slot cost. The most important metric for liner companies in selecting vessels. In our fleet is in a competitive position to drive the cascade rather than be a victim of it. Six, we’re very focused on balance sheet optimization, laying the groundwork for eventual comprehensive refinancing to reduce our cost of debt. We are delivering with debt reduced by $6 million during the quarter and we have begun to take steps to push out our 2020 debt maturities. Seven we have engaged experience and support the shareholders and our corporate governance is fully transparent. Last eighth, GSL represents a great platform for growth via M&A as exemplified by the recent Poseidon Transaction. We will remain disciplined and only contemplate transactions are clearly build shareholder value. All of the above is just as potential. However, GSL represents far more than that potential. As illustrate on Slide 24, we have delivered on our promise to translate upside potential into tangible value and, I repeat tangible value. Specifically, since the end of October, 2019, we have added 21 new charters, 56 years of additional charter cover, more than $300 million of contracted adjusted EBITDA and also $142 million to charter adjusted NAV. The tangible value that we have created demonstrates our commitment to securing new charters at strongly accretive trades to lock-in the upside, while protecting our downside. With that, I would like to open the call to your questions. Thank you.
Operator: [Operator Instructions]
Ian Webber: Operator, we’re not hearing any questions.
Operator: Our first question comes from the line of Steve O’Hara from Sidoti & Company. Your line is open.
Steve O’Hara: Yes. Hi, good morning.
Ian Webber: Hi, Steve.
Steve O’Hara: Hi. Just on the process of getting the supply side. I think you commented that despite that needs to get under control for the industry to be sustainably profitable. I mean where are we in that process? I mean it seems like we’ve at least made process – made some progress in the last couple of years. I’m just wondering where you think we are in that process. I mean is it – does the IMO 2020 – I mean seem like would speed that up a bit? But I mean, if you can talk about maybe based on current fundamentals for demand where you think we are.
Tom Lister: Sure. Okay. First Point, the idle capacity across the fleet as a whole was 2.1% at the end of March and then since fallen further, very little slack within the system. Second point is the order book. As we’ve said, we’re focused on 2,000 to 10,000 TEU with our fleet with a particular focus on vessels of 4,000 to 10,000 TEU. And in those segments, there is zero order book. So capacity is already tight on the water. And it’s going to get tighter going forward, because the zero capacity in the pipeline. And in the meantime, although overall global trade is expected to grow somewhere between 3% and 4%. The demand growth within the non-main lane trades, so in other words, the intermediate and interregional trades including inter Asia, on which the sort of smaller and mid-sized vessels, which we focus on tend to be deployed are growing faster than the non-main lane. So the fundamentals for all vessels segments are very strong. What is overlying all of this of course is nervousness and negative sentiment. And that it’s actually helpful, we think going forward because it reduces people’s appetite for ordering, again which brings the supply side under control. And it also increases the incentive for people to scrap marginal tonnage further reducing capacity that’s on the water today. And on top of all of that, as you mentioned Steve, we have IMO 2020, due to be rolled out and we see that as a positive catalyst too, because as vessels are taken out of circulation to be fitted with scrubbers, which takes about six weeks per vessel that tightens supply upon the water. And going forward, we believe that there’s likely to be an incentive for liner companies to slowdown their vessels to reduce fuel burn, and as a result also to reduce fuel costs for them, again, that’s a very helpful adjustment to the supply side. So we have various positive parameters, which we expect to play out over the course of the next 18 months or so.
Tassos Psaropoulos: If I may add also to that, we all know that France is pushing into mandatory speed limits. And guys, this is the obvious thing. When you have – imagine you have a car, that has a huge engine. And there’s one of these American cars that have five or six, seven liter engines. And you want to try and reduce emissions, what you’re going to do? Are you going to let the driver of this car drive down the highway at maximum speed? What are you going to tell him? You know, you have to slow down. So that your admissions are controlled, because you cannot remove the engine from the car and put the smaller engine. The only thing you can do is ask him to drive slower, so produce less emission. That’s exactly the principle behind it. From reading the press, there has been 117 shipping companies that have counter sign this proposal by France to impose speed limits. You can imagine that if this happens, the mark is going to go through the roof, because that means you’re going to have a reduction of the total of global fleet substantially, not just in containers, but throughout.
Ian Webber: And one further comment, Steve. The order book is pretty fixed for the next two or three years. It would be tough for any new orders of any magnitude to be placed, which would be delivered before two or three years out. The ship yards are all full, not just with containerships, but other types of vessels and also retrofitting scrubbers.
Steve O’Hara: Okay. Thank you. That’s very helpful. And then just in terms of the rate parity that you pointed out with IMO 2020, just I mean, what type of assuming rates jump significantly. I mean, what type of consolidation would you expect or I mean how does the industry react you think in 2020 and beyond to this pretty massive increase in prices or costs?
Ian Webber: What I’m trying to get that chart, that Tom discussed on Page 16 was theoretical. This isn’t a prediction that charter rates are going to up to $55,000 a day for 9,000 TEU unit would be fantastic if it did, but it’s just illustrating the capacity for charter rates to increase, yet, still provide efficient vessels to charters. The heart of your question is, what’s going to happen to the higher cost that liner companies bear from the increased cost of fuel. And everyone expects that low sulfur fuel will cost more than current heavy sulfur fuel, if you will, high sulfur fuel, heavy fuel oil. Nobody knows exactly what the premium is going to be. Is it going to be $50 a ton? Is it going to be $200 a ton? Nobody really knows. But what we do know is that the liner companies have been discussing with the major customers about how to spread the burden and liner companies can’t just swallow up the cost. They’re going to have to pass it onto the customers, the shippers and ultimately, its also the consumer who might have to pay an extra cent for a pair of Nikes or a bottle of beer in Downtown New York. And it’s a recovering variations in fuel prices, well established in the industry through bunker adjustment factors. Every liner company has a different approach to this. But this IMO 2020 is, everyone is in the same boat, everyone is going to have to pay more for that fuel. Everyone is going to try and seek to recover that from the shippers. Is it going to lead to further consolidation? I can’t see that it is a particular driver of additional consolidation. It may be a factor. And in terms of accessing, unit cost efficiencies or scale economies or purchasing power, but as a single item catalyst for consolidation, I don’t think so.
Steve O’Hara: Okay, all right. And then maybe on the idle capacity and the recent contracts, have you seen in terms of I mean, it sounds like the movement rates has been fairly solid this year. I mean at what point do you get more – let’s say pessimistic on signing up a ship now and maybe holding out for higher rates? Or is it a matter of we want to have x amount of capacity kind of available to sign up at a higher rate, because we think rates are going higher versus hey, here’s our percentage of the fleet, we want to keep exposed the higher rates.
Ian Webber: Yes. We don’t really have that approach. We don’t say we want 70% of the fleet covered and we want 30% exposed. We’re prudent business managers. George mentioned that we’re captured the upside and we’ve eliminated the downside, and when we’ve agreed these longer-term charters and that’s exactly what we’ve done, it’s opportunistic. There was an opportunity, so enter five-year charters with MSC for the Qingdao and the Tianjin at a rate that we felt was good enough to lock in, and we did. And that has been driven by the factors that Tom mentioned that the restricted supply of 7,000, 8,000, 9,000 TEU units and the decent demand for those units. It’s a fact that most of the exposure that we have in our fleet to renewals over the next couple of years are on the smaller ships, where again, it’s a fact charter rates have not moved up in the same way yet that we’ve seen for the larger units in the charter market. That said, the fundamentals of supply and demand that Tom talked about, relate to the smaller units, pretty much the same as the larger units. And over time, all things equal, we would expect to see charter rates for the 2,000, 2,500, 3,000, 4,000 TEU ships to move up as well being dragged up by kind of cascade of positive sentiment from the larger units. And we’ll take advantage of that as our smaller vessels when you, the charters over the next 12 to 18 months.
Steve O’Hara: Okay. Thank you very much for the time. I’ll jump back in queue.
Ian Webber: Thanks, Steve.
Operator: And the next comes from the line of Howard Blum with UBS. Your line is open.
Howard Blum: Good morning. Good report. Thank you for the update. I have two questions. One is in the conference call following the merger announcement. I thought you said that you were going to expect to save about $5 million of costs and the consolidation. And I know you said you’re in the process of accomplishing that, but are you 90% done in the process? Are you going to fall short of that amount? Are you going to do better than that amount sort of an update on that question? And the last question, as a shareholder for many years I’ve been discouraged by the price action in the stock and you’ve done a great job of arranging the company in a way that can benefit all of us going forward. But in a number of the refinancings in the past and a number of accommodations you’ve made to debtholders, you’ve pushed out the ability of the company to either buyback stock or pay a dividend on a regular basis. And I know now from today’s call, you’re talking about consolidating the debt, and I wonder if you’d make some kind of a statement or a commitment about your willingness to retain that right going forward to payout dividends or buyback stock in a refinance negotiation.
Ian Webber: Sure. Let me tell you what the cost saving question first. You’re right, we have articulated that we would expect some modest level of cost saving, and you’re right, it was $5 million as a kind of annual run rate. It’s going to take us a little time to get that. And it’s going to take a little bit of time for us to be able to demonstrate that. Because data at the moment is a little dirty and that we are transitioning ship manager, as you know, from the legacy GSL ship managers to Technomar. As of today, 15 of the 18 vessels have, sorry, 19 vessels have moved across. So we have four to go. And it’s inherent in the change of ship manager that there are some costs associated with it. There’s a doubling up on crew costs for a short period of time. We have to pay some exit fees to the old ship manager. The new ship manager has a startup costs. Notwithstanding that, we’ve delivered lower operating costs in Q1 2019, then in quarter one 2018, $6,000 – in around $6,100 per day compared to $6,400 per day. So notwithstanding extra costs associated with change in ship manager cost the OpEx – daily OpEx is down, which is a really good sign. The other area of cost saving we indicated was SG&A, and again, there is a transition at the moment. We’re still running two organizations, one in London and one in Athens. The London organization is scaling down. And we’ll be scaled down early summer or mid-summer. And then we’ll begin to see a better run rate for SG&A towards the backend of this year. So we remain confident in the $5 million figure. I’d be hopeful that we could surpass that. It’s not a game changer, obviously, but it is important for us to deliver an efficient platform. On debt refinancing, we’ve said that our strategic objectives near-term are to push out the maturities about 2020 expiring debt and we’ve made progress on that and we’ll continue to make more progress. That has no impact on our ability to pay a dividend or return capital to shareholders. The constraint that we have for that is embedded in our high yield notes. Both the existing notes and the previous note that the existing note replaced. And actually, when we were talking with bond holders and agreeing some amendments to the bond, we brought forward our ability to pay the dividend by a year, previously up until December, 2019 – sorry, 2018 we were unable to contemplate a dividend until 2021, unless we raised equity capital. Today, we can contemplate a dividend as early as the beginning of 2020. So a full 12 months before and that’s because we’re aware of the importance of the ability to pay a dividend, not the commitment to, but the ability too. And when the time is right then, maybe we’ll introduce the dividend, but we’re very well aware that the negative impact of constraints on dividend paying capacity to equity.
Howard Blum: Thank you very much.
Operator: [Operator Instructions] Our next question comes from the line of Konstantin Chinarov from Aptior Capital. Your line is open.
Konstantin Chinarov: Hi guys. Thanks very much for the presentation. I’ve got two very quick questions. One, so you mentioned this 2020 maturity that you are working on. Could you please give some sort of further – some sort of highlights on that, maybe like timing of the deal, any terms you could comment on. And then secondly, if you could sort of concern the latest cash balance for GSL senior secured notes issuance guarantors as of Q1. Thank you.
Tassos Psaropoulos: I’ll answer to your first question. The Poseidon loans, Poseidon financials we have with a normal commercial banks. They have a balloon at the end of 2020. Under normal circumstances of an usual practices, commercial banks give you up to five years of finance. And there’s a balloon at the end, which once you arrive close the balloon, you refinance most likely with the same banks if not with some other banks and extend these balloons, probably for another few years. So what we’re doing right now is our standard practice. It’s a normal operation. We are working with our banks to refinance with commercial banks, the ones we already have. All these Poseidon and tries on packages that initially they have balloons at the end of 2020. So business as usual, nothing extraordinary in this respect. On your second question, could you please repeat it, because I didn’t understand exactly what you wanted us to tell you.
Ian Webber: I understand the question, it’s not something that we’ve got at our fingertips, I’m afraid. So let us follow that up.
Konstantin Chinarov: Okay, thanks.
Tassos Psaropoulos: What was it?
Ian Webber: It was the cash balance for the GSL senior secure note holders in that box, not Poseidon box, but just that one.
Konstantin Chinarov: Okay.
Tassos Psaropoulos: Yes. I’ll just say we don’t have that to happen.
Konstantin Chinarov: Okay, thanks.
Operator: I’m showing no further questions at this time. I would now like to turn the conference back to Mr. Ian Webber.
Ian Webber: Thank you everybody for listening to us. Now thank you for your questions. We look forward to giving you an update or further update on progress after the end of Q2. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.